Operator: Thank you for standing by, and welcome to the GBLI 2023 Earnings Call. I would now like to welcome Steve Ries, Head of IR, to begin the call. Steve, over to you.
Steve Ries: Thank you, Mandeep. Today's conference call is being recorded. GBLI's remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including without limitation, beliefs, expectations or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will, in fact, be achieved. Please refer to our annual report on Form 10-K and our other filings with the SEC for description of the business environment in which we operate and the important factors that may materially affect our results. Global Indemnity Group LLC is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. It's now my pleasure to turn the call over to Mr. Jay Brown, Chief Executive Officer of Global Indemnity.
Jay Brown: Thank you, Steve. Good morning, and thanks to everyone for joining us this morning for our 2023 results call. Before I turn it over to our CFO, Tom McGeehan, to take you through a detailed synopsis of our 2023 financial results, I will provide a brief overview of the past year, where we are now and where we are going. After seven years on the Board of Global Indemnity, I accepted the position as CEO 16 months ago. My mandate was very straightforward, determining which businesses we're working execute a strategy to exit everything that didn't make sense and then rightsize the company expense structure to manage the business profitably, and to utilize capital efficiently. These tasks were accomplished in the first 90 days and have been reported on through the last four results calls. We also reaffirmed some simple long-term objectives that we would use to measure our insurance operations. They are, one, achieve a consistent combined ratio in the low 90s. Two, grow the insurance business at a compound rate of 10% or greater. And three, manage our expense ratio to 37% or better subject to business mix. As we announced in our earnings release this morning, we are tracking towards these objectives but fell a bit short in 2023. First, our accident year loss ratio for our ongoing business in our Penn-America segment fell a couple of points short of target. As Tom will detail, this was due to the overhang in the current year from the remaining effect of exposures in our New York habitational book of business. The good news is our exposure in terms of number of units in that book is now down 85% from its peak and 75% in the past 12 months. The significant reserve strengthening on our 2019 through 2023 for the Penn-America segment was driven primarily from this exposure. Second, our growth in three of our four divisions was approximately 12%, consistent with our long-term target. In the fourth division programs, the purposeful underwriting and pricing actions we undertook resulted in a 40% reduction in the amount of business we wrote in the past year. Third, in terms of expense management, we met our dollar budget target for the year, but still fell about 80 basis points short of our target expense ratio. Looking at where we are now, I was very happy to see us have net income of $25 million for last year, a nice increase in book value per share and a robust and growing discretionary capital position. Given that we have excellent liquidity and estimate that our current discretionary capital is around $200 million, your Board approved a 40% increase in our dividend last week. As we noted in that dividend announcement, we have now returned more than $600 million to shareholders since we went public. Reflecting on our current operations, I have greater confidence now that we are well positioned with businesses that have excellent and consistent and profitable results over the past two decades. Turning to this year and our plans and expectations for results. Unlike the recent past, which was the year of restructuring, we are now focusing on both expanding our product offerings, for our current customer base and beginning to deliver on our revamp of our customer-facing technology platforms. Much of our past success has been achieved with customer-friendly technology. But is now an absolute priority that we upgrade across the board to maintain a competitive offering. In terms of financial results, the most predictable component is our high-yielding short-duration investment portfolio. This should increase the investment income portion of our returns for shareholders by 15% in 2024. Obviously, our insurance underwriting results are much harder to forecast given the inherent variability in short-term results. But I currently expect we will continue to achieve rate and exposure changes modestly above our long-term inflation trends. As such, we would expect our 2024 accident year underwriting results to be a bit better than that achieved in 2023. Given the reserve actions we took in 2023, I would expect that our calendar year results will be much closer to our accident year results in 2024. The overall strengthening that we took of $10 million or 1.3% of our carried reserves reflects the continued strength in our reserve position. As we saw in 2023, we would expect the Wholesale Commercial, InsurTech and Assumed Reinsurance divisions to achieve a minimum 10% growth. Given new leadership in programs and a much smaller base of enforced business, we expect some growth, but we’re not yet sure it will hit long-term targets in 2024. Our dollar budget for internal expenses in 2024 is consistent with last year, but the lag in earned premiums we will still be short of meeting our target of 37% expense ratio. Standing back and seeing how this all comes together. We expect to generate positive underwriting returns and investment returns for our shareholders. In addition to our intent to return a share of our returns to shareholders with a higher quarterly dividend, we also expect that our current estimated discretionary capital position of $200 million will increase by approximately $50 million per year over the next three years. In summary, while we continue to make substantial progress against our longer-term goals, both the accident year and calendar year underwriting results for our continuing operations still fell a little bit short of these objectives. Most importantly, the consistent underlying profitability of our continuing book of business cements my view that better results will be forthcoming in the future. Before I turn it over to Tom to go through his explanation of financial results, I’d like to announce that there’s going to be a change in Tom’s responsibilities and role at Global Indemnity. Tom has elected to retire as CEO effective April 1 – CFO, he’s probably going to want my job next, as CFO on April 1. Tom will then take on and join our Board of Directors, effective on the same day and take on the role of being on our Board going forward. I’m very excited about this for Tom. I have really appreciated the time I’ve worked with Tom over the last eight and a half, nine years. But more importantly, it’s always good to have somebody who knows our business as well as Tom does actually working with our Board to further develop and establish ways to create value for our shareholders. With that, I’ll turn it over to you, Tom, for your report on 2023.
Tom McGeehan: Okay. Before I start, I just wanted to say thank you to Saul Fox, our Chairman and the rest of the Board for expressing confidence in me. I look very forward to working more closely with the Board. I’m very happy and honored to remain associated with Global Indemnity and we’ll work hard to continue to increase value to our shareholders. So with that, let me jump into my section of the presentation. Net income for 2023 was $25.4 million compared to a net loss of $0.85 million in the comparable period in 2022. Book value per share increased from $44.87 at December 31, 2022 to $47.53 at December 31, 2023. Net income increases in the market value of the fixed income portfolio and share repurchases all contributed to the increases in book value per share, including the $1 distribution paid to shareholders during 2023, returns to shareholders were 8.2%. I will now discuss some of the key drivers of net income starting with investment performance. Investment income was $55.4 million compared to $27.6 million in 2022. Actions taken in early 2022 to sell longer dated securities in shortened duration have translated into much higher book yields. Book yield on the fixed income portfolio is 4.05% at December 31, 2023 and its duration is 1.15 years. The average credit quality of the fixed income portfolio is AA-. As a comparison, at December 31, 2021, book yield on the fixed income portfolio was 2.2% and duration was 3.2 years. In 2024, we expect our investment portfolio will generate over $800 million of cash flow as bonds mature and investment income is realized. Average book yield on investments maturing in 2024 is approximately 3.5%. In this higher interest rate environment, our portfolio is well positioned to increase investment earnings. Moving to underwriting. We have strong accident year results. Accident year consolidated underwriting income was $14.3 million compared to $4 million in 2022. The consolidated accident year combined ratio was 97.3% compared to 99.6% in 2022. In 2023, Penn-America had an accident year underwriting profit of $18.5 million compared to an accident year underwriting profit of $13.5 million in 2022. Penn-America’s accident year combined ratio in 2023 was 95.1% compared to 96.6% in 2022. Excluding the poor performing New York habitational book that Jay mentioned, Penn-America’s accident year combined ratio would have been 93.8%. Its accident year loss ratio was 57.2% in 2023 compared to 59% in 2022. Earlier in 2023, we reported that the Penn-America property book was impacted by several losses in large commercial vacant properties as 2023 progressed, property results improved. Penn-America finished with an accident year property ratio of 53.4% compared to 58.2% in 2022. Penn-America’s wholesale property book achieved rate increases of 10.4%. Exposure change added an additional rate of 1.8%. For casualty, Penn-America’s casualty book performed similarly to 2022. In 2023, Penn-America’s wholesale commercial casualty book had rate increases of 9.6%. The casualty loss ratio was 59.9% in 2023 compared to 59.5% in 2022. The increase in the loss ratio was driven by the aforementioned New York habitational book. Non-core operations had a 2023 accident year underwriting loss of $4.2 million compared to an accident year underwriting loss of $9.5 million in 2022. The drag from the non-core book will decline as the business runs off and support for this business is no longer required. Lastly, impacts from catastrophes have lessened. On a consolidated basis, total catastrophes were $17.2 million in 2023 compared to $22 million in 2022. Moving to our calendar year underwriting results. Calendar year underwriting income was $3 million compared to $8.3 million in 2022. On a consolidated basis, loss reserves were strengthened by $9.5 million. 2022 had loss reserve releases of $8.1 million. Global Indemnity has always been prudent in setting loss reserves. In 2023, Penn-America’s strengthened reserves $29.9 million and non-core had releases of $20.3 million. Penn-America’s calendar year underwriting results were negatively impacted by adverse emergence from casualty in the 2019 through 2022 accident years. The same New York book that we previously noted drove much of this increase. To improve New York results rate and underwriting actions have been taken. For our casualty book, we believe rate increases are exceeding loss inflation. Penn-America’s wholesale casualty book had rate and exposure rate increases of 14.7% in 2022 and 9.6% in 2023. In non-core, approximately $17 million of the $20.3 million release was from property treaties from accident years prior to 2021. Casualty releases make up the difference. Within casualty, there were decreases and increases in prior year reserves. There was a $10.2 million increase in the 2019 to 2022 accident years mainly related to a restaurant book that was not renewed as of March 1, 2023. No additional premium has been written or earned on that book since March 1, 2023. This adverse emergence was more than offset by positive emergence from other lines. Professional lines released $7.2 million and the remainder of the releases from general liability lines. Booked reserves remained solidly above our actuarial indications. Moving to written premium. In 2023, Penn-America’s gross written premium was $369.7 million compared to $388 million in 2022. Wholesale Specialty [ph] which focuses on Main Street small business grew 6.9% to $234.9 million compared to $219.7 million in 2022. The price increases of 10.4% were realized from the Wholesale Specialty book. Our InsurTech business, they can express in collectibles, grew 17.9% to $48.3 million compared to $41 million in 2022. The Vacant Express product generated $32.8 million of gross written premium in 2023, which is up 25% compared to 2022. New agent appointments helped drive this growth. In addition, a new vacant monoline general liability product was introduced in the third quarter of 2023. Collectibles gross written premium grew approximately 5.4% to $15.5 million assumed reinsurance within Penn-America grew from $5.5 million in 2022 to $13.9 million in 2023. Organic growth from existing treaties and new treaties drove this increase. Programs gross written premium declined to $72.5 million compared to $121.8 million in 2022. The decline in programs was primarily due to actions taken to improve underwriting income by increasing rates adding exclusions to mitigate certain casualty losses, reducing exposures to catastrophe prone business and non-renewing underperforming business. Non-core gross written premium was $46.7 million in 2023 compared to $339.7 million in 2022. This decline was planned and the book is declining as expected. The decline in gross written premium is mainly due to a casualty treaty that was not renewed and the sale of the farm business which was sold in August 2022. In 2024, we expect non-core gross written premium to be less than $5 million. We are pleased with the direction of our company. Our core business is providing positive returns. Penn-America performed well with an accident year combined ratio of 95.1%. We believe rate increases are in excess of loss inflation. Capital is being freed up as the non-core book shrinks that can be used to support growth and other corporate initiatives. 96% of the portfolio is invested in fixed income investments and cash. Over $800 million will mature this year with a book yield of approximately 3.5%. We expect these funds will be invested at higher rates. Thank you. We will now take your questions.
Operator: [Operator Instructions] Our first question comes from the line of Ross Haberman with RLH Investments. Please go ahead.
Ross Haberman: Good morning, gentlemen. How are you? Two quick questions. First one, the New York habitational book, how big is that and what do you expect in terms of a loss in 2024? The second question is how much – it looked like you bought back about 300,000 shares in calendar 2023. How much is left in that program? Thank you.
Jay Brown: Sure. In terms of the New York hab, the – it’s concentrated in terms of the problem, results were concentrated in two of the boroughs in New York City. The total book that we’re writing will remain on the books through 2024. In other words, this year will probably be less than $3 million.
Tom McGeehan: Yes. And on the share repurchases, the authorization is up to $135 million. We still have a little more than $100 million that we would be authorized to repurchase.
Ross Haberman: Thank you very much.
Operator: Our next question comes from the line of Tom Kerr with Zacks Investment Research.
Tom Kerr: Good morning, guys.
Operator: Please go…
Tom Kerr: Good morning. Can you hear me?
Jay Brown: Yes, we can.
Tom Kerr: Can you kind of talk about the casualty book in general? Besides those two issues that were highlighted, what’s the general health or any other potential issues going on in the overall book?
Tom McGeehan: Well, the casualty book in general, Tom, we focus on Main Street business, small business America. Most of the limits written are $1 million or less. There’s a few that are a little bit larger than that, but that’s the main focus of our business. We had two particular books that we noted on this call that we stumped our toes, just to be honest, and completely non renewed the one and greatly downsized the other. So the potential adverse experience that might be incurred on it going forward from those two areas is greatly mitigated. The rest of the casualty book is actually performing fairly well. Again, we don’t have exposures to really high limits, and again, we’re seeing loss ratios that are running as we would expect.
Jay Brown: Yes. We’ve taken note that there has been a fair amount of disclosure at the end of 2024 across the industry of different types of development in the general liability area. And excluding the two books of business Tom mentioned, we haven’t seen that same development in our book of business.
Tom Kerr: Okay, great. Thanks. And on the expense ratio, the 37% goal that I think you mentioned won’t be hit in 2024. Can you kind of give more color on that? I think I missed the gist of why that wouldn’t be met in 2024?
Jay Brown: Sure. When we went through the restructuring at the beginning of 2023, we sized the staffing level and all of our internal expenses to match both what we needed to deal with the non-core book, which is running off, plus the part that would be dealing with the ongoing book. In terms of looking at 2024, our staff will be down modestly during the course of the year as the non-core book continues to run off. The rest of the expense base is probably sticking within a couple of million dollars of what we spent in 2023. But because of the way we’ve written premium our earned premium will be a bit, will not grow as fast as our written premium will in 2024. So the ratio will creep up perhaps 100 basis points during the course of the year and then come back down in 2025.
Tom Kerr: Okay, got it. One more quick one on the rate increases in the Wholesale Commercial. I think there is a 10% rate increases throughout the year. And sorry if I missed this, but the 2024, we’re still expecting strong rate increases, correct? Would it be at that level or lower or higher? Can you give us any color on that?
Jay Brown: I expect it’ll be a bit lower we were because of the COVID lag. We were a little bit slow off the mark in beginning of 2021. We played catch up in 2021 and 2022. 2023, we pretty much stayed level with our expectation for long-term trends. We now think we’re matching that pretty well. So a combination of rate increases and exposure changes probably will be in the 6% to 7% range. Exposure changes can drive that quite a bit different if the book starts to shift in terms of the size of risk that we’re underwriting. But that’s kind of what level we have against our long-term trends right now.
Tom Kerr: All right. Thanks. I’ll get back in the queue.
Jay Brown: Thank you.
Operator: We have received a question from Michael O'Brien. He asked, could you talk about your strategy related to stock buyback, given the big discount to BV? Also, do you have the TBV number?
Jay Brown: Let me speak to the stock buyback. Our stock buyback approach has been really for reverse inquiry. We have not participated in open market purchases. The reason being for that is our volume is so small that if we went in there with any kind of ongoing program, we would distort how the market is actually pricing our stock. So we've chosen not to participate in open market. We have been approached at different points in time with blocks of shares which we've considered, depending on where we are at that point in time, whether we could buy it back or not at that price. A lot of it depends on what we might currently be doing at that moment in time, who we're talking to or what we're thinking about. So we can't always buy back 100 or 365 days of the year, but we continue to encourage people that have substantial blocks of business, blocks of our shares. Excuse me to call Steve. And we will always consider buybacks. I think, as Tom mentioned, we still have $100 million available under our buyback program, and we certainly would entertain any sizable blocks of stock at the current price.
Tom McGeehan: Yes. Regarding your tangible book value per share question, I didn't compute the exact value before I came on this call, but we don't have much in the way of goodwill or intangibles on our balance sheet. Round numbers, we have $649 million of equity. Our goodwill and intangibles are only $19 million. Which round numbers, that's about a $1.50 per share. So goodwill and intangibles are really not that big of a drag on our overall book value.
Operator: Our next question comes from the line of Ross Haberman with RLH Investments. Please go ahead.
Ross Haberman: Thanks for taking the call again. In terms of the corporate and overhead expenses, could you tell us how much of the $23 million and $23.4 [ph] million would you say is non-recurring or less recurring, maybe related to your merger negotiations and whatever light you might be able to shed on why that did not or why that fell apart? Thank you. 
Tom McGeehan: Okay. On a normal year, we would expect our corporate expenses to be $18 million to $20 million. Nothing fell apart. In the last two years, our corporate expenses have been in that low $20-some million range. A year ago, we in 2022, we sold our farm business and incurred expenses for that. This year, early in the year, we had some restructuring charges. And really, most of what you're seeing this year is onetime charges as we reposition the business to move ahead.
Jay Brown: In terms of falling apart. I'm assuming you were asking a question why we didn't complete any kind of a transaction. And the reality is very simple. We did not achieve a price indication that matched our expectation of what we thought was the right decision for our shareholders. With a shareholder that owns over 40% of the stock, that's a fairly easy decision process of if we meet a number that Saul Fox and Fox Paine feel is acceptable, we of course, would then go and engage in a transaction. But we have not yet achieved that.
Ross Haberman: Thank you for that.
Operator: [Operator Instructions] We do have a question from Michael O'Brien. He asks, are you searching for a new CFO?
Jay Brown: The answer to that is no. Tom and I have been discussing for the past six months, the timing of what would be the right time for him to make the transition from being our CFO to becoming a Board member. We are extremely fortunate to have Brian Reilly [ph], who has been a senior member, the senior member underneath Tom and our finance department for the last 18 years and who will be taking on the role of CFO on April 1. So that is not going to involve an external search at this point, obviously, since we are very happy to have an internal candidate to take on that role.
Operator: This concludes today's question-and-answer session. I would now like to turn the call over to Steve Ries for closing remarks.
Steve Ries: Thank you again, Mandeep. Once again, if you have questions, you may reach out to me, and we look forward of speaking with you in the next quarter.
Operator: This concludes today's call. You may now disconnect.